Operator: Good morning and welcome to the Dawson Geophysical First Quarter 2013 Results Conference Call. All participants will be in listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note that this event is being recorded. I would now like to turn the conference over Steve Jumper. Please go ahead.
Stephen C. Jumper: Well, thank you Sue. Good morning and welcome to Dawson Geophysical Company’s fiscal 2013 first quarter earnings and operations call. As Sue said, my name is Steve Jumper, Chairman, President, and CEO of the company. Joining me on the call is Christina Hagan, Executive Vice President and Chief Financial Officer. Today’s call will be presented in three segments following this opening remarks, Chris will discuss our financial results. I will then return for an operations update, then open the call for questions. This call is scheduled for 30 minutes and as in the past, we will not be providing any guidance. At this point, I will turn control of the call over to Chris Hagan, our CFO to discuss our financial results.
Christina W. Hagan: Thank you, Steve. First, I’ll share our Safe Harbor provision. In accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, Dawson Geophysical Company cautions its statements made today in this conference call, which are forward-looking and which provide other than historical information, involve risks and uncertainties that may materially affect the company’s actual results of operations. These risks include, but are not limited to the volatility of oil and natural gas prices, dependent upon energy, industry spending, disruptions in the global economy, industry competition, delays, reductions or cancellations of service contracts, high fixed costs of operations, external factors affecting our crude such as weather interruptions, and inability to obtain land access rights of way, whether we enter into turnkey or term contracts, crew productivity, limited number of customers, credit risk related to our customers, the availability of capital resources and operational disruptions. A discussion of these and other factors, including risks and uncertainties, are set forth in the Company’s Form 10-K for the fiscal year ended September 30, 2012. Dawson Geophysical disclaims any intention or obligation to revise any forward-looking statements, whether as a result of new information, future events or otherwise. During this conference call, we will make references to EBITDA, which is non-GAAP financial measure. A reconciliation of the non-GAAP measure to the applicable GAAP measure can be found in our current earnings release, a copy of which is located on our website www.dawson3d.com For the first quarter of fiscal 2013, ended December 31, 2012, revenues were $76.629 million compared to $92.368 million for the same quarter in fiscal 2012. The company reported net income for the first quarter of fiscal 2013 at $2.928 million compared to $3.231 million the same quarter of fiscal 2012. Basic earnings per share for the first quarter fiscal 2013, were $0.36, compared to $0.23 per share in the same quarter of fiscal 2012, excluding the effect of a $0.18 per share one-time tax benefit, recognized in the first quarter of fiscal 2012, related to a merger agreement terminated in calendar 2011. Our effective tax rate for the first quarter of fiscal 2013 is similar to the quarterly tax rates for fiscal 2012, except for the first quarter of fiscal 2012, which as I said contained a net tax benefit of approximately $1.4 million during the quarter, which was enough to completely offset our ordinary income and related tax expenses on the income statement for the three months ended December 31, 2011. EBITDA for the first quarter of fiscal 2013 was $14.338 million compared to $11.028 million in the same quarter of fiscal 2012. Capital expenditures in the first quarter of fiscal 2013 included replacement of an I/O RSR recording system on an existing crew with the purchase of 12,000 Geospace GSX single-channel cable-less units; replacement of a set of vibrator energy source units on an existing crew with the purchase of ten INOVA vibrator energy source units; and the purchase of 2,500 stations of the Wireless Seismic RT System 2 recording system deployed on a small crew in the mid-continent region of the United States. The company anticipates a capital budget in fiscal 2013 of approximately $50 million that include additional cable-less recording equipment, additional energy source units, Canada operation capital requirements and maintenance capital requirement. Reflected in the first fiscal quarter of fiscal 2013 results, where increases in depreciation expense of $1.318 million from capital expenditures in the prior fiscal year. The increase in depreciation expenses was related to the company's investment in additional recording equipment, and energy source units over the past 24 months. Steve?
Stephen C. Jumper: Thank you, Chris. Let me just start by recapping our fiscal first quarter highlights as mentioned. As Chris mentioned, the first quarter fiscal 2013 EBITDA increased to $14.338 million compared to $11.028 million for the same period of fiscal 2012, an increase of 30%. Income from operations increased 61% from $3.226 million in the first quarter of fiscal 2012 to $5.194 million in the first quarter of fiscal 2013. Revenues, net of third party reimbursable charge has increased to 11% in the first fiscal quarter of 2013 compared to the first fiscal quarter of fiscal 2012. Demand for our services in the lower 48 remained near multi-year highs in the first quarter of fiscal 2013 and we maintain an order book capable of sustaining 14 data acquisition crews well in the calendar 2013. We have a balanced portfolio of projects in the Eagle Ford Shale, Bakken, Marcellus, Mississippi Lime of Kansas and Oklahoma, and the Permian Basin. We have approximately $52 million of working capital at December 31, 2012 and we have mobilized our first crew in Canada in late January. As mentioned, EBITDA for the first quarter of 2013 surged over $14 million, an increase of 30% over the first quarter of 2012, while net income grew to $2.9 million from a gain of $1.8 million in the year ago period, excluding the one-time tax benefit Chris mentioned earlier in the first quarter fiscal 2012. Sequentially, both EBITDA and net income showed quarter-over-quarter improvement as net income increased to 154% from $1.152 million in the fourth quarter of fiscal 2012, and EBITDA increased 35% from $10.630 million. The increase is notable as the first fiscal quarters historically and most challenging quarter due to weather conditions, shorter days, and a holiday season. With our continued investment in people, process and processes equipment, we are beginning to realize improved returns and financial performance. These ongoing investments are helping drive crew efficiencies, reduce our operational footprint and provide greater value for your clients. Over the past several years you have heard us comment about investments in people, process and equipment. The investments we made in each of these areas have strengthened the Dawson brand and it helped us attract and retain our value to client base and maintain Dawson Geophysical as a world recognized name, as a premier provider in the Geophysical sector. We have increased channel count and the number of energy sources company-wide, as well as systematically upgraded the recording systems and energy sources on existing crews. We have replaced four RSR crews and two ARAM crews with cable-less recording systems and redeploy like equipment on existing crews in order to increase channel counts, these upgrades and expansions are in response to demand for higher resolution images, cable-less technology, improved energy sources, and increased crew efficiencies. We continue to have a reduction in third-party charges, as an increasing amount of our work is being conducted in the more open terrain of the western United States such as the oil and liquid rich basins in the Eagle Ford, Bakken, Mississippi Lime, and Permian Basin. We would anticipate third-party charges to remain near our historical average as a percentage of revenue in the foreseeable future. All third-party charges are reimbursed by our clients. We are excited to have our first crew operating in Canada to further expand our market base. While this Canadian season appears to be more difficult than anticipated, we are building our Canadian operations at a measured base and believe will provide long-term growth for our shareholders. In closing, improved efficiencies, process and gains and productivity combined with favorable contract terms are driving higher returns. Our company’s balance sheet remains strong and I am confident that our commitment to our employees, our clients and shareholders will bring new opportunities for expansion and growth here at Dawson. And with that operator, we are ready for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from Veny Aleksandrov of FIG Partners. Please go ahead.
Veny Aleksandrov – FIG Partners LLC: Good morning Steve, Chris. Congratulations, all in order.
Stephen C. Jumper: Thank you, Veny and good morning to you.
Veny Aleksandrov – FIG Partners LLC: So my first question, it was on margins, so the margins really improved and you are talking about improved contract firms. Though I want to dig a little bit deeper in that, is it improved pricing? Has the pricing improved or it’s rolling contract or is the combination daily versus turnkey, can you give us whatever information you can on that?
Stephen C. Jumper: Well, as we mentioned in the press release and the conference call, the revenue, net of third-party reimbursable charge has increased 11% from the first quarter of 2012. So we not only had an increase in revenue net of third-party charges we had a significant reduction in the level of third-party charges as a percentage of revenue. And so those two things as we’ve talked about in the past obviously will have an impact on the margin. On the question of improved contract terms, I think we probably started rolling off of some difficult contracts that we’ve talked about in the past probably, maybe about a year-ago, nine months ago, something like that and so the contracts that we had talked about in 2010 and in the early part of 2011 that were priced in the 2009-2010 timeframe those are all gone. And since that time period we have seen slight increases in pricing. I wouldn’t say that we’ve seen great levels of pricing increase, but I think pricing in itself is in a position where particularly with the turnkey contracts that we operate under and the crew efficiencies, I think we still see some upside in those type of contracts. We are getting and have been receiving some level of weather protection that has improved in the last certainly 12 months to 18 months. As we’ve talked about in the past, weather downtime protection is never full margin. It’s cost coverage basically, it’s very low margins with zero margin. But it does help offset some of those expenses when you encounter some weather downtime. And in conjunction with that as we moved further west, we have been able to utilize some of our internal support services that we’ve talked about in the past, such as our survey department and our permit group, some of those services that we provide as opposed to having to use third-party contractors when we were working in the eastern part of the U.S. and so there is some slight improvement with regards to contract terms when we can handle some of those services internally.
Veny Aleksandrov – FIG Partners LLC: Great, thank you. So the second part of my question is related to 2013, third-party charges seem to have normalized around here. Is your order book under the combination of short-term contracts and long-term contracts, so that you can sustain a healthy short-term utilization?
Stephen C. Jumper: I think its better Veny, obviously the question that you are asking is leading into the situation we had in the third and fourth quarter of fiscal 2012, where we had significant reduction in utilization rates, particularly from the May to August timeframe and that was related to delays in contracts, permanent land access agreements, those types of things. Our utilization rates in the first quarter were much improved as they were in the very tail end of the fourth quarter of fiscal 2012. I think our order book is well-balanced in terms of geographic location and project size. I think that we are still continuing to operate on a majority of turnkey contracts. We do have some day rate term type agreements that are in play, but we’re certainly not near the 50-50 level that we were in, let’s say in 2007 and 2008. But I do feel better about our order book, I think we’re seeing some opportunities particularly in the Permian Basin, with some small independent operators that are bringing projects and that maybe in the 20 square mile, 25 square mile to 50 square mile a range. And we do have a nice order book with some contracts and that are in the 200, 300 ranges. So I do feel better about it. At this point, I do not see a significant issue like we had in the third and fourth quarter last year, utilization rates appear to be high in the near future and going into the middle of the year. That can always change. We can always have some issues that crop up that are unforeseen, but I certainly feel like that the nature of the demand we have, as well as the work our folks have done to mitigate some of those risks have improved from where we were in May time frame of last year. The last comment I would make in that is, some of those issues that we dealt with in the third and fourth quarter of 2012 were specifically related to some delays in some projects that were pushed back and as I have mentioned in the prior quarter call and those projects have come back to life and we’re working on some of those now, and those projects have been in some cases expanded in scope and so at this point we feel pretty good about the order book and utilization rates going forward.
Veny Aleksandrov – FIG Partners LLC: Thank you so much. I appreciate it. And congratulations again.
Stephen C. Jumper: Thank you, Veny.
Operator: The next question comes from Collin Gerry of Raymond James. Please go ahead.
Collin Gerry – Raymond James & Associates, Inc.: Good morning Steve, good morning Chris.
Christina W. Hagan: Good morning.
Collin Gerry – Raymond James & Associates, Inc.: Well, congratulations.
Stephen C. Jumper: Well thank you.
Collin Gerry – Raymond James & Associates, Inc.: Yes, you bet. And to follow up my congratulations, I'm going to ask a question that I know you hate. You had a great quarter, historically this has not been seasonally the strongest quarter for you guys or for Seismic in general. And so I'm thinking about as we start the early part of the year, the first and second calendar quarters tend to be pretty good for you guys. So can the good times keep rolling, I mean, should we think about it in terms of historical seasonality or do you see something in the next two quarters, that are different or idiosyncratic about that, the historical issues between improvement as it go into the year doesn’t hold.
Stephen C. Jumper: Well as you know I'm not going to give a whole lot of guidance because we are subject to so many things that are beyond our control, but I do think that I mentioned in the November conference call that I felt like, that we were off to a great start in October, the first month of the fiscal year. Then I felt like we were off to the best start we had had in quite some time. And that held true, we had some very nice weather conditions in October and then we got into December where we really had some weather impact obviously and some holiday season and shorter days. Daylight started to change here. The days are getting longer; that’s a good thing for us, particularly when you are on a turnkey contract. The order book looks pretty good. We continue to battle as we always do with operating expenses. I think that’s going to be key for us, as to continue to maintain operating expenses at a reasonable level. We are not really having a serious labor cost issue, but we are having in various places, particularly in West Texas, you are having housing issues as some cost increase there, but I think if we can maintain the operational efficiency that we’ve seen and that it looks to me like we’ve got some good opportunities for crew moves. I don’t see any long distance crew moves that would be a negative impact. I think we feel pretty good about the next couple of quarters and all the way through 2013. I think request for proposals are coming to life again. They are always seasonally slow at the end of the year, but we are starting to see some requests and some increase. We are starting to have continued conversations with a broad client base about opportunities in all the basins that we talked about. We do have herded struggles, but is struggling a little bit in the quarter with some of the weather up in Pennsylvania, some of the snowfalls that they’ve had in Western Pennsylvania and the extreme cold weather. And so we’re battling that project a little bit, but I think we feel pretty good today at where we are and what the next couple of quarters look like.
Collin Gerry – Raymond James & Associates, Inc.: All right, well that sounds good. I guess another kind of bigger picture question, as we’re seeing the industry, a lot of operators go from the drilling programs are going to pad drilling where they are using less rigs and doing a multiple wells in their pad drillings. And we’ve seen some budgets come in. And so I am just wondering if that overall trend speaks to the operators spending less on exploration and more on development. And if that has the same historical ramification that it were in the seismic space, or does the development phase require seismic as much as the exploration phase or it that switch not happening, to the extent you see it.
Stephen C. Jumper: We’ve talked a lot in the past about the seismic technology being used not just in the exploration phase, but in the development phase. And we’ve had several conversations with some operators that really want to look at the use of seismic information not just in terms of – in exploration mode it would be one or two drill. In evaluation mode and where we’ve been in shale plays in the past is a we’re not too drill, how to avoid any type of geohazards. But I do think that our clients are going to continue to develop place to utilize seismic information to not only look at where not to drill but to look at more of the rock side work and what the rock properties are how those rocks may or may not respond to any type of completion techniques in enhanced development operations. And so I think that we are having good conversations with several operators who are moving exactly into that area where they want to understand more about the reservoir and the rock type that we are dealing with. And I think the information we provide has that potential to aid in that area. Now we are always subject to dollar rotations within budgets. We are going to have some clients who are going to move away from a seismic activity for a while, but we have other clients who are in other phases of their drilling program. Then we begin to look at increased use of seismic. And so I don’t think we are fully connected to either a rig count or the overall budget, but I do believe that in many cases that we are continuing to see quite a bit of strength and need for the use of seismic information. We’ve done several of a multicomponent projects here recently. We are doing very tight spaced, high resolution type surveys that lend themselves for further analytics of the rock type. And so I think we are going to fit in over long haul quite nicely.
Collin Gerry – Raymond James & Associates, Inc.: All right, that’s it from me. I will turn it back. Thanks again and congrats on a good quarter.
Stephen C. Jumper: Thanks, Collin.
Operator: The next question comes from Rudy Hokanson of Barrington Research. Please go ahead.
Rudy A. Hokanson - Barrington Research Associates, Inc.: Thank you. My congratulations too on a great quarter. Question that fits into both the issue of the portfolio of contracts right now, and also how the capital spending is planned going forward. The summary you have given is more wireless capability that with all of the demands by your customer right now and when I say demands, may be request might be a better word. Are there specifications on the equipments you’re going to be ordering that would be different than what you may have ordered in the last quarter? Or is it going to be more of the same and how do you start doing some of the more specialized request in terms of reservoirs and evaluation with that equipment. Is this equipment designed to be able to do that multifunctional type of acquisition of information or there is specifications that you’re putting in there. And along with that as you do go up to $50 million, I was just wondering, is it just a generally more of the same or are there some other things working there?
Stephen C. Jumper: Yeah, most – I would say, where we are today, we were placed in RSR crew recording equipment, and some vibrators in Q1. And we’ve had some vehicle, some maintenance capital requirements that we had to address and so we’ve had a significant spend, the $50 million in the first quarter. I would anticipate that we’re from an equipment standpoint in the near future, we are in a pretty good shape. I think obviously a phone call or a request or a contract, something along those lines can obviously change our budget, but I think where we are today is we are at probably six GSR crews, six ARAM crews and still operating to the I/O System 2 crews. And so I think we're in pretty good shape, one thing we have not really discussed at great length in the past few quarters is the increase in the number of energy source units that we're utilizing, back in 2007-'08 time frame when we were working predominantly in the eastern part of the U.S., we use an awful lot of dynamite energy sources. So as we move west, you're going to more vibrator work, so not only have we had to replace some older units but we've had to increase the number of units that we have company-wide. And so going forward, I would anticipate a slowdown in CapEx certainly over the next couple of quarters. In terms of data quality and the equipment base that we have, all of our recording systems record equivalent seismic data. They’re all 24 bit systems. They utilize the very same sensors on each crew, they vary only in how they manage data, whether they move data through a cable system, or they hold data within the box like a GSR system, where it's an autonomous node type recorder, and they differ in expandability and functionality. And so any one of these systems can perform at the same level as the other one in terms of data quality, the driving factor and how we’re going to utilize that information going forward is more related to the number of channels, the type of energy source, the fidelity of the vibrators themselves and the spacing of the information. We are just producing a lot more information wide as of full offset type industry terminology that basically says we can put a whole bunch of information into an analytic. The only system that we have that differs from that would be the three component GSR crew that have been working in the Rocky’s region which does record, not just the conventional seismic signal, but the two shear-wave signals as well. And I think overtime in our industry, I think you will continue to see increased utilization of multicomponent type equipment.
Rudy A. Hokanson - Barrington Research Associates, Inc.: Great, thank you very much.
Stephen C. Jumper: Thank you, Rudy.
Operator: The next question comes from Georg Venturatos of Johnson Rice. Please go ahead.
Georg P. Venturatos – Johnson Rice & Co. LLC: Good morning Steve, Chris.
Stephen C. Jumper: Hey, Georg.
Georg P. Venturatos – Johnson Rice & Co. LLC: Steve, just wanted to get your thoughts a little bit more on the Canadian market. I know in the press release you had mentioned it was atleast a little more difficult than you anticipated, is that more of a reflection of the market in general in terms of activity levels or your ability to kind of create a competitive stance in that market?
Stephen C. Jumper: Well, Georg I am not worried about our competitive position in the Canadian market. We have in our opinion assembled a fantastic management and operational team in the Canadian market that’s we believe to be well respected and very knowledgeable. I think it’s more of a market issue, I am by no means an expert in the Canadian market, but I have seen some information that has been published, that says that something like last year might have been a 45 crew season, it is a short season, and this year that number is somewhere between 32 to 36. And I think the Canadian market did get little bit softer than we anticipated. As we have said all along in going back to May of last year when we announced that move, we did not anticipate keeping the Canadian entry would have a significant impact one way or the other in our 2013 results. We have said, we felt like we can keep one, maybe two. It looks like we’re going to keep one crew utilized from late January. We think we’ll be able to keep it up there may be 60 days or something. So the season wasn’t quite as long as we had hoped. But we think it’s a great opportunity for our company going forward and I think we’ll have to look over the next couple of years to determine the effectiveness of that move.
Georg P. Venturatos – Johnson Rice & Co. LLC: Okay, great. And on the asset based side, obviously you made some nice upgrades and made some retirements as well. Have you started to see an ability to get a competitive advantage over some of your – the other data acquisition guys given that additional cable-less portion of your asset base or is that going to take a little time?
Stephen C. Jumper: Our competitors have accessed a very similar equipment and obviously the cable-less technology is something that is increasing in usage. It’s particularly effective in areas that may have a little more difficult access, then the wide-open spaces of West Texas, let's say. I think obviously with the number of cableless channels we operate, I think it’s somewhere north of 70,000 channels now. That gives us a whole lot of flexibility and combined with the fact that we have the 6 high channel ARAM crews, gives us a whole lot of flexibility in terms of scheduling, being able to take on projects, being able to quickly move a crew from lets say seven or eight channels on the ground to the next project, where they might be up to 10,000 or 12,000 or even 15,000 range. And I think, when you combine the fact that the way we are acquiring industry-wide seismic data today with the way we're using energy sources, coupled with channel count. I think everybody is starting to see increased efficiencies which I think continues to create opportunities in the order book, and it's something that we have to learn to manage. As we mentioned in the second quarter, recall last year our efficiencies kind of got us a little bit ahead of ourselves in the schedule and I think able to manage that better now but, I think our ability to deploy a high number of channels in different types of crews in different locations is certainly something that we think helps us.
Georg P. Venturatos – Johnson Rice & Co. LLC: Okay, I appreciate the answer Steve.
Stephen C. Jumper: Thank you.
Operator: The next question is from Jason Wangler, of Wunderlich Securities. Please go ahead.
Unidentified Analyst: Actually this is (inaudible) dialing in for Jason. Hi Steve.
Stephen C. Jumper: Hi, how are you.
Unidentified Analyst: Good, just I have a quick question on the demand side. Just curious what U.S. basin you had the most increasing demand and do you expect that to continue going forward?
Stephen C. Jumper: We’ve been very active and recently in the Mississippi Lime area and the Kansas-Oklahoma border. We’ve also been very active in West Texas all the way from the Delaware basin to the eastern side of the basin where you start to get into some of the client shale stuff. And I think that would be our two most active areas right now. We have the one crew in northwest PA. We will be active later in the spring, back in the Bakken, North Dakota with some projects there and we still have some activity in the Eagle Ford. But I would have to say that the hardest parts are certainly the Mississippi Lime and West Texas, Permian basin areas.
Unidentified Analyst: Okay, thank you so much.
Stephen C. Jumper: Thank you.
Operator: The next question is from William Tichy of Beddow Capital. Please go ahead.
William D. Tichy – Beddow Capital Management, Inc.: Yes, Steve?
Stephen C. Jumper: Yeah, Will.
William D. Tichy – Beddow Capital Management, Inc.: Yeah, how are you doing?
Stephen C. Jumper: Good. How are you?
William D. Tichy – Beddow Capital Management, Inc.: I am doing dandy. I guess my question here, you had a three explosive I’d call it, EBITDA margin. It looks like it got up to just under 19% and what – do you think there is more vehicle room to move towards the 20% area in that regard?
Stephen C. Jumper: Bill, we’re all hesitant as you know to give guidance, but I certainly believe with the level of third-party charges where they are and the type of work that we have on the books going forward, particularly with the turnkey type contracts, I am optimistic that we will continue to see improvement in all of our financial measurements and metrics. And I think there is certainly a room if we can handle the expense side of the business, as I think we can and as we continue to deploy cable-less equipment, theoretically our level of personal demands decrease as opposed to cable crew. But I think we’re going to – it’s our goal to continue to evaluate ways to not only increase the margin, but increase the returns as well.
William D. Tichy – Beddow Capital Management, Inc.: Okay, thank you.
Stephen C. Jumper: Thank you, Bill.
Operator: There are no further questions. This concludes our question-and-answer session. I would like to turn the conference back over to Steve Jumper for any closing remarks.
Stephen C. Jumper: Well, thank you Sue. I would like to thank everybody for participating in the call and joining us. It’s always a pleasure to talk to you. I would like to thank our clients, employees, our valued shareholders for their continued support and trust and I would mention that we will be presenting at the Intercom Oil and Services Conference, on February 19 in San Francisco and that presentation will be webcast and look forward to talking to you again in the 90 days. Thank you very much.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect your lines.